Operator: Good morning, and welcome to Kimco's Fourth Quarter 2013 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to David Bujnicki. Please go ahead.
David F. Bujnicki: Thanks, Andrew, and thank you all for joining Kimco's Fourth Quarter 2013 Earnings Call. With me on the call this morning are Milton Cooper, our Executive Chairman; Dave Henry, the President and Chief Executive Officer; Glenn Cohen, Chief Financial Officer; Conor Flynn, our Chief Operating Officer, as well as other key executives who will be available to address questions at the conclusion of our prepared remarks. As a reminder, statements made during the course of this call may be deemed forward-looking and it's important to note that the company's actual results could differ materially from those projected in such forward-looking statements due to a variety of risks, uncertainties and other factors. Please refer to the company's SEC filings that address such factors that could cause actual results to differ materially from those forward-looking statements. During this presentation, management may make reference to certain non-GAAP financial measures that, we believe, help investors better understand Kimco's operating results. Examples include, but are not limited to, funds from operations, net operating income. Reconciliations of these non-GAAP financial measures are available on our website. [Operator Instructions] With that, I'll turn the call over to Dave Henry.
David B. Henry: Good morning, and thanks for calling in this morning. We are very pleased to report strong fourth quarter results. Glenn and Conor will provide the details, but, in general, our operating metrics are excellent, led by our U.S. same-site NOI growth of 4.1% for the fourth quarter and 3.8% for the full year. The same-site number, which increased from the prior quarter, together with our substantial increase in occupancy, provides solid evidence of the continued strength and health of our core portfolio of neighborhood and community shopping centers. Looking at the shopping center industry overall. Leasing activity continues to be strong with both occupancy and effective rent strengthening. The International Council of Shopping Centers, ICSC, our industry trade group, announced this week that the U.S. shopping center industry NOI grew 8% in 2013, which, while not a same-site number, represents the best annual growth rate since 2008. Brick-and-mortar holiday sales were also up 2.4% year-over-year despite awful weather and 6 fewer shopping days. Clothing, sporting goods and hobbies were particularly strong and the "daily spend" by consumers is now the highest in 6 years. National retailers continue their expansion plans with more than 81,000 new stores planning to open over the next 24 months. Despite the growth of e-commerce sales, the shopping center industry is benefiting from population growth, very limited new development and GDP growth exceeding 2%. This is translating into occupancy gains, rent increases and NOI growth across our sector. Kimco's own key metrics and operating results are robust and give us confidence that 2014 will again produce solid results across our portfolio. In Latin America, we continue to make excellent progress with our disposition activities. We sold 5 additional shopping centers in the fourth quarter, bringing our 2013 gross sales in Latin America to $1.1 billion. As recently announced by the buyer, a joint venture of Macquarie Mexico REIT and Frisa, Kimco has signed a purchase contact to sell 9 of its remaining Mexico shopping centers, comprising 2.1 million square feet to the Macquarie joint venture. Closing is expected within the next 30 days. In addition, we now have signed letters of intent or contracts on 13 additional shopping centers, 12 in Mexico and our single last property in Chile. Only 5 existing shopping centers in a small net lease portfolio in Mexico remain unspoken for at this time. North of the border, our Canadian portfolio remains strong and a significant contributor to our earnings despite the recent currency decline of the Canadian dollar. Kimco's Canadian high-quality portfolio, overall, remains well occupied at 96.3% and we are benefiting from the continued expansion of U.S. retailers in and into Canada. This week, Walmart announced plans to open 35 additional supercenters in Canada over the next 12 months. Target also announced plans to open 9 more stores in Canada, bringing their Canadian store count to 133. Nordstrom, Saks, Uniqlo and DSW are also on their way into Canada. In the U.S., as Glenn will detail, our recycling efforts continue at a solid pace with Kimco purchasing high-quality retail properties and selling its equity interests in nonstrategic shopping centers. Step-by-step, the profile of our portfolio is improving significantly in terms of demographics, average rents, NOI growth profile and primary markets. Coupled with our redevelopment efforts, which Conor will cover, our new acquisitions and partner buyout activities will provide strong future NOI growth. We are particularly excited about our pending acquisition of the 24-property Boston area of retail portfolio, which should close in March. In addition, we are under contract for Crossroads Plaza, a Class A dominant regional power center in Raleigh, North Carolina; and Quail Corner, a Harris Teeter grocery-anchored shopping center in a high-income suburb of Charlotte, North Carolina. Subsequent to year end, Kimco also closed on the acquisition of 3 grocery-anchored shopping centers in the Greater Baltimore area from one of our institutional joint venture partners. Now I would like to turn to Glenn to discuss the financial details of the quarter to be followed by Conor's in-depth discussion of our portfolio results. And then Milton will, as usual, provide some general observations.
Glenn G. Cohen: Thanks, Dave, and good morning. We finished up 2013 on solid footing, delivering very strong operating metrics for the quarter and the full year while continuing our portfolio transformation. As we reported last night, FFO as adjusted and headline FFO each came in at $0.33 per share for the quarter, bringing FFO as adjusted to $1.33 per share for the full year, representing a 5.6% increase over 2012 and achieving the upper end of our 2013 guidance range. Our key portfolio of operating metrics of same-site NOI growth, occupancy and leasing spreads were the highlights of the quarter. Combined same-site NOI growth was 3.4% for the quarter, which includes a 70 basis point negative impact from currency. The U.S. portfolio was the key driver, generating same-site NOI growth of 4.1%. For the full year combined same-site NOI growth reached 3.5%, including a 30 basis point negative impact from currency and the U.S. portfolio delivered 3.8% growth. Our pro rata occupancy rate increased 50 basis points during the quarter for both the U.S. portfolio and the combined portfolio, bringing occupancy to 94.9% for the U.S. and 94.5% for the combined portfolio. These levels represent increases of 100 basis points and 70 basis points, respectively, over the 2012 levels. Leasing spreads were solid with new leases providing an 8.2% increase and renewals and options coming in at an increase of 5.2% for a combined 5.9% increase for the fourth quarter. For the full year, leasing spreads delivered a positive growth rate of 7.7%, comprised of 15.6% for new leases and 5.9% for renewals and options. These excellent operating metrics are the direct result of our transformation and simplification efforts thus far, an improving economy and the hard work of all of our leasing and property management associates. We've continued to be active capital recyclers and the fourth quarter was no exception. We completed the sale of 14 nonstrategic U.S. shopping centers for a gross price of $192 million and a cap rate of 6.7, and quickly redeployed the proceeds acquiring 14 shopping centers in our key markets for a gross price of $248 million at similar cap rate to those disposed of. In addition, as Dave mentioned, we sold 5 more assets in Latin America for a gross sales price of $40 million, including the complete exit of Brazil with the sale of the 2 Brazilian assets. We now have 1 property remaining in Chile, which we expect to complete the sale of during the first quarter of 2014, and 2 small properties in Peru, one which is already under contract. As part of our simplification strategy, we are in active negotiations or available or at LOIs for many of the remaining assets in Mexico. And we expect to substantially complete these transactions by the middle of 2014. In addition to our excellent portfolio of operating metrics, we were successful in improving our balance sheet metrics as well. We improved our consolidated net debt to recurring EBITDA to 5.5x and increased our fixed charge coverage to 2.9x. We took full advantage of the low interest rate environment during 2013, issuing a 10-year U.S. bond at 3 1/8% in May and a 7-year 3.855% Canadian bond in July, using the proceeds to repay higher coupon debt, generating annual savings of over $13 million. Our liquidity position remains in excellent shape with over $1.4 billion of immediate availability and very manageable debt maturities in 2014. We are pleased with our execution and results for 2013 and have a clear, focused strategy as articulated at our Investor Day in December. I've seen this transformation, simplification and redevelopment, TSR, to drive total shareholder return with some extra from the plus business. We plan to deliver on this strategy in 2014 and beyond. Let me provide some color around our 2014 recurring earnings guidance. We are affirming our 2014 FFO as adjusted per share guidance range of $1.36 to $1.40 with a midpoint of $1.38. At the midpoint range, the FFO per share growth is just under 4%. This guidance range is based solely on recurring flows and does not include any transaction income or expense. We expect to achieve this solid growth level despite the dilutive impact from the dispositions of InTown Suites, the American Industries portfolio and the net acquisition and disposition activity during 2013. Several of the underlying assumptions used to determine the guidance range include an increase in overall occupancy of 50 to 75 basis points, combined positive same-site NOI growth of 2.5% to 3.5%, the benefit of reduced borrowing costs and reduced G&A expense. In addition, we expect to continue the transformation and further improvement of the portfolio through significant disposition and acquisition activity. The guidance range assumes the monetization of substantially all assets in Mexico by the middle of 2014 and the sale of U.S. assets throughout the year, yielding proceeds in the $700 million to $900 million range. Proceeds from the dispositions will be used to acquire U.S. shopping centers in our targeted markets with a gross acquisition range of $900 million to $1.1 billion. The guidance range is very sensitive to the timing of the acquisition and disposition activity. Our 2014 capital plan does not assume any new common equity requirements and supports our recently increased dividend level of $0.225 per quarter, which equates to an FFO average yield of 65%. We're the lowest in the REIT industry. With that, I'll turn it over to Conor.
Conor C. Flynn: Thanks very much, Glenn, and good morning, everyone. Today, I will review the progress made on our portfolio strategy, give an update on asset recycling activities and address fourth quarter and full year performance. At our recent Investor Day, as Glenn mentioned, we outlined our portfolio strategies for the next 3 to 5 years, transformation, simplification and redevelopment, to drive total shareholder return. There are significant growth opportunities embedded in our portfolio, such as redevelopment, releasing and management efficiencies, which will continue to drive net asset value. We continue to build on the existing critical mass in our key territories where we have boots on the ground, local expertise and the ability to create value. We believe the current environment highlighted by available capital, modest interest rates and limited supply make this an optimum time to accelerate the transformational aspect of our strategy. We continue to dispose assets where we perceive risks, either in the form of lower growth profiles, below-average metrics or that are located in noncore markets. During 2013, 35 properties were sold for a gross price of $349.7 million at a cap rate of 7.6%. But disposing assets is only one side of the equation. We have also been acquiring larger and higher-quality assets, possessing growing cash flows that are located in strong demographic markets. For the full year, Kimco acquired 23 retail properties totaling $640 million at a cap rate of 6.8%, in line with our communicated strategy of simplifying the business and leveraging our relationships. Five of those sites were acquired from existing joint ventures. One recent acquisition is an off-market grocery portfolio that we structured as a sale-leaseback with Winn-Dixie. We acquired 6 sites punctuated by Marathon Center, a 106,000 square foot high-volume center anchored by Winn-Dixie. Marathon is also anchored by a Kmart, paying below-market rent that expires in 2017 with no remaining options and we are excited about the great redevelopment opportunities this presents. The site is located in the Florida Keys, an area with high barriers to entry and limited new development. We expect our asset recycling program will lead to continued portfolio strengthening and a continued upgrade in quality. Turning to redevelopment activities. During the fourth quarter, we moved 35 projects with a gross costs of $109 million to the asset redevelopment pipeline. Through the second half of 2013, we increased the redevelopment pipeline by $400 million to $778 million, comprising a total of 262 projects. We continue to mine the portfolio for redevelopment opportunities where we can add a grocery component and believe that the large expansion plans of traditional, specialty and ethnic grocery chains will provide numerous opportunities to significantly increase our percentage of grocery anchors in the portfolio. This quarter, we signed 5 new grocery leases, including Publix at Belmart Plaza in West Palm Beach, Florida where we will be demolishing a former Winn-Dixie box and building a new Publix grocery-anchored center. In total, we acquired 11 grocery-anchored assets this quarter, increasing our grocery exposure to nearly 60% of our total portfolio of base rent. While our redevelopment projects have aimed at retenanting our centers with quality creditworthy tenants, our leasing teams have continued to focus on recycling our tenant mix to reduce our exposure to at-risk retailers. In 2013, we reduced our exposure to Kmart and Sears, redeveloping these bases for high-quality tenants at better rents. In Ocala, Florida, for example, we released the former Kmart box to Burlington Coat Factory for 179% rent increase. And at Fairview Heights, Fresh Thyme Farmers Market took a portion of the former Kmart box for a 279% rent increase. Additionally, we reduced our exposure to office supply stores in 7 locations. We are also very active on the small shop recycling front. National restaurant chains, including Chipotle and Panera, are replacing noncredit operators. Medical and personal service industries such as urgent care, weight loss centers, hair and nail salons and massage spas are showing positive net absorption. Indeed, these service-oriented businesses, which are e-commerce resistant, are a growing part of our shopping center evolution. The increase in small shop occupancy continues to be driven by positive net absorption and the disposition of riskier assets. We continue to see significant demand for opportunities in proven retail nodes and high occupancies across the industry are driving rents. Kimco is benefiting from this trend through higher rents for a larger portion of our portfolio as below-market leases mature and anchor boxes are redeveloped for strong junior anchor lineups. Our average base rent per square foot increased in 2013 by $0.41 or 3% from $12.58 to $12.99. And we only see opportunity for healthier increases as 86 anchor leases expire through 2017 with no further options and a 20% spread on mark-to-market. For example, there are 5 Kmarts expiring through 2017 that are 253% below market and 10 office supply stores that are 69% below market. Our 32 Kmart stores represent only 1.4% of AVR at an average base rent of $5.62 per square foot. We have 3 Sears representing 0.1% of AVR at an average rent of $5.56 a foot. As far as J.C. Penney is concerned, we have 4 locations representing 0.1% of AVR at an average base rent of $6.28 a foot. This quarter, in Philadelphia, we recaptured a J.C. Penney box and are redeveloping this space with Burlington Coat and Bob's Discount Furniture where we will be adding vertical transportation for the multistory box. We continue to monitor our tenant watch list as we believe, in this environment, recapturing boxes will create strong leasing spreads and redevelopment opportunities. The recovery of the small shop segment of the business continues to be a positive sign as annual increases and lease trends are creeping back to prerecession highs in our key markets. This segment will continue to improve with the economy as it is closely tied to housing market, job market and consumer confidence. Credit quality is important to us and our large balanced portfolio mitigates individual retailer exposure. Among our top 20 tenants, we have the largest proportion of A-rated ABR among our peers. Still, we continue to monitor our watch list and believes this environment provides unique opportunity to recapture these boxes for redevelopment, resulting in stronger leasing spreads. And now turning to our results. U.S. same-site NOI increased by 4.1% pro rata, representing the 15th consecutive quarter of positive growth. When we include LTAs, as some of our peers do, our same-site NOI jumps to 5.3%. Leasing spreads for both new leases and renewals have now been positive for 11 consecutive quarters. Fourth quarter new leasing spreads were 8.2%, driven mainly by our junior anchor deals and midsized shops. The benefits of our redevelopment projects drove spreads this quarter with retailers like Bob's Discount Furniture and Burlington Coat Factory taking the former J.C. Penney space in Philadelphia at a 64% spread. We've additionally continued to reap the benefits of holding leases in our portfolio with a 20-year-old Stein Mart in Webster, Texas, renewing at a market rent at a 35% spread. Over Kimco's long history, we have been able to adapt to the ever-changing retail environment. And today, we continue to employ a proactive approach to our positioning our portfolio for tomorrow. We maintain a constant dialogue with our tenants and have excellent relationships on a national and local level that help us identify new and emerging trends very early. We are constantly evaluating how we can further improve the appeal of our centers, be it through new amenities, energy-monitoring initiatives, innovative retailer incentive programs and technology, we continue to improve and pilot programs to adapt the dynamic retail landscape. In closing, it is an exciting time for Kimco, and I look forward to providing updates on our transformation, simplification and redevelopment progress, which is well underway and already yielding results. And now I will turn it over to Milton for his closing remarks.
Milton Cooper: Thank you, Conor. I believe we are in the sweet spot in the ownership of retail real estate. There has been virtually no growth in shopping center supply since 2009, while on the demand side, we still have strong population growth. As pointed out by an astute analyst, the 2009 to 2013 period is the first time since 1974 that GLA for shopping centers has declined on a per capita basis. The performance of our value-oriented retailers, discounters, warehouse clubs, grocers and retailers selling essential goods has been strong. Our largest tenant is TJX. They have done quite well and are planning to open 700 stores over the next 5 years. We own over 130 TJX stores in their various formats. And we plan to expand substantially with them over the next 5 years. Among our peers, we are also the largest landlord of Home Depot and Costco stores. Both of these tenants have had excellent results and have strong balance sheets. These tenants are also very positive about our property type. Now it's not to say that the viability of retailers will ever change. Let me remind you that some time ago, an entire retail segment disappeared. I'm referring to the variety stores: Woolworths, Newberry's, G.C. Murphy, S.S. Kresge, gone. Yet all of that space has been replaced: Venture Stores, W.T. Grant, others have also disappeared, but since then, have all been replaced. Overall, we have properties that essentially consist of retailers that are value oriented or have excellent credit, such as Walmart, Target, or retailers that sell everyday necessities, grocers, services such as health clubs, nail salons and dry cleaners. And unlike other industries, we do not run the risk of technological obsolescence. There are some technology companies that sell at huge multiples and a new invention could dramatically affect their existence. Think about Polaroid, think about carbon paper, and more recently, cassettes and CD papers. The quality of our portfolio is getting better and better as we transform it and the best test is the same-store growth in our properties and that has been outstanding. I like where our portfolio of properties is going and I like the way our portfolio of people are developing. We always talk about TSR. We're transforming the quality of our portfolios. And by the way, to sell over $1 billion of low-quality assets at a higher cap rate and to buy higher-quality assets at a lower cap rate and still, despite the dilution, delivered growth in earnings is something to pound our chest about. We are simplifying our business by exiting Mexico and South America and reducing the number of our joint ventures and we're going to take advantage of redevelopment opportunities. Now in addition, what is really unique about Kimco is in our plus business, run by Ray Edwards and myself. Over the years, as you know, we have had a track record of having sizable profits in this business. As of today, our investment in the SUPERVALU shares has added annualized returns of 38%. In our investment analysis, we have received almost 5x our money back and our share of the equity above our course [ph] in the overall venture is still quite substantial. It's not too shabby for a small overhead operation. As we're excited about 2014 and as Conor has outlined earlier, transformation, simplification and redevelopment programs are well underway. And we look forward to harvest the fruits of our execution. And with that, we'll be delighted to take any questions.
David F. Bujnicki: Andrew, we're ready to move to the Q&A portion of the call.
Operator: [Operator Instructions] First question comes from Craig Schmidt of Bank of America.
Craig R. Schmidt - BofA Merrill Lynch, Research Division: About 19.3% of Kimco's ABR comes from U.S. markets outside the top 40 MSAs. Just given your acquisition and disposition plans, where do you think that number might be in, say, 3 years' time?
Conor C. Flynn: Well, as you know, we're very focused on reducing that. And I think in 3 years' time, our goal is to cut that in half. It's really to -- we have our disposition pipeline now that targets about 10% of that and so 50% of what you're talking about is we plan to exit in 3 years.
Operator: The next question comes from Christy McElroy of Citi.
Christy McElroy - Citigroup Inc, Research Division: Conor, I have a multi-part question on the redevelopment pipeline. What is your share of the $223 million in process and the $778 million total pipeline? How would you characterize the 37 smaller projects in your in-process pipeline? And when you think about anchor replacement versus sort of true redevelopment, how do you decide what to include and exclude from your re-leasing spread calculation?
Conor C. Flynn: Why don't I start with -- the smaller projects on the redevelopment pipeline are typically out-parcels where we're creating a pad or a multi-tenant building, where we're developing it in the parking of the shopping center. Our share of the redevelopments, I can get that for you. It's really -- let me pull it up right here, it's about $409 million of the total pipeline, $409,200,000. So it really -- now a lot of those projects are still in joint ventures and we've shown that we have the opportunity to buy our joint venture partners out in certain cases. So there is a potential to increase that share as we have the kit [ph] portfolio in the market and a few other portfolios in the market. Can you repeat the third or the fourth question?
Christy McElroy - Citigroup Inc, Research Division: Okay. So when you think about sort of anchor replacements versus like true revenue-generating redevelopment, how do you decide what to include in your re-leasing spread calculation?
Conor C. Flynn: Our re-leasing spread is very much focused on just the re-leasing of the box. Where it's a redevelopment, we're doing something to the box. We're expanding it, we're cutting it, we're redoing the shopping center. So if it's a pure tenant-out, tenant-in type of analysis, that's a re-leasing spread. Where we consider if we have to do something to the box then it's considered a redevelopment.
Christy McElroy - Citigroup Inc, Research Division: So if you're replacing a former Filene's Basement with a Nordstrom Rack and a DSW, that's not included in the re-leasing spreads?
Conor C. Flynn: That one is -- that one is, because we actually -- we didn't do anything to the box. So the box, as it stands and we're actually just putting a Nordstrom Rack in one portion of the box and DSW in the other portion.
Operator: The next question comes from Paul Morgan of MLV.
Paul Morgan - MLV & Co LLC, Research Division: Just on the acquisitions, you gave $900 million to $1.1 billion -- I guess, first of all, is that -- I don't recall exactly what it was before that, a higher guidance? And then a lot of the focus has been in terms of the recent activity in the Sun Belt and I'm just wondering is that an explicit target? Or is this opportunity based? And maybe kind of is the cap rate for a high-quality asset in some of those markets in the Sun Belt more advantageous to you in your view than in the Northeast Corridor and the West Coast?
Glenn G. Cohen: Paul, first, part of what we have this we've already lined up things like the Boston portfolio. We've closed on a couple of properties in our LaSalle joint venture. So almost half of the amount that I mentioned, roughly $500 million, has already been targeted. The balance is really going to come based on our pace of dispositions and the opportunities that present themselves. But those targets are based really on the activity we see coming forward and we think that we'll be able to achieve those levels. They're pretty much in line with what we talked about at our Investor Day. And again, it's going to be subject to the level of dispositions that happen.
David B. Henry: We do, Paul, on your second part of your question, we do look at a lot of transactions. The 2 that I mentioned in North Carolina where we are very excited about because we like North Carolina, long term. We like the demographics, we like the prognosis. Both Raleigh and Charlotte are dynamic good markets. And the truth is we can get a little bit higher yield in those markets than we can other places. But we look at all of our key markets actively across-the-board.
Operator: The next question comes from Alexander Goldfarb of Sandler O'Neill.
Alexander David Goldfarb - Sandler O'Neill + Partners, L.P., Research Division: I just wanted to get a little more color on Puerto Rico. I didn't hear it in your opening comments. If you could just give a sense for how the NOI trends have been there both in the quarter and then for the full year, as well as rent spreads. And bigger part of that is, obviously, we've all read the headlines and you can see all that stuff. But just really seeing over the past year or 2, if there's been any change in U.S. tenant interest in going down to the island?
Glenn G. Cohen: Sure. I'll take the first part of it, Alex. The same-site NOI growth for the quarter was 5.7% and for the year in Puerto Rico, it was 4.4%. And the occupancy level is up 130 basis points. So it began the year at 96.7% and ended at 98%.
Conor C. Flynn: I'll just mention that our portfolio, that occupancy is the highest it's ever been. If you go to Puerto Rico, you'll start to see that the macro environment doesn't necessarily reflect the portfolio that we currently own. The parking lots are full, the retailers are doing exceptionally well and the high sales that these retailers are producing are attracting other like kind retailers to come down to the market. PetSmart is extremely aggressive down there, Petco as well. Anna's Linens does phenomenally down there. And we're continuing to see more and more retailers contact us for opportunities. But as you can tell, our portfolio is pretty well occupied so it's very hard to find those opportunities in Puerto Rico. And we anticipate another grocer coming to Puerto Rico shortly. We think that, that's a real opportunity to bring a national brand to Puerto Rico.
David B. Henry: From a very high level, Alex, when you read the negative headlines, you have to remember that Puerto Rico is very supply constrained from a retail perspective. It's got a fraction of the retail per capita that the U.S. does. And so shopping centers are generally very well occupied and rents are still on the way up despite the economic problems of Puerto Rico.
Alexander David Goldfarb - Sandler O'Neill + Partners, L.P., Research Division: Okay, perfect. So as far as all the headlines, I mean, none of it -- the retailers at the end of the day are focused on making money. And as long as they're still making money, they're not dissuaded by any of these headlines.
David B. Henry: Exactly.
Operator: The next question comes from Jeff Donnelly of Wells Fargo.
Jeffrey J. Donnelly - Wells Fargo Securities, LLC, Research Division: I recognize this may be more of a mall question, but can you update us with your general thoughts on how the thread of closures from Sears, Kmart, Penney's play out? And I guess maybe as a follow-up, whether or not you think discount retailers and other box unit -- users are going to look for unit growth by retrofitting those spaces or sort of ground-up construction? And I guess, lastly, is there an investment opportunity in there for Kimco?
Conor C. Flynn: Let me take the last part. We do think that there's opportunity there. We do think that we've been -- I think, we've been monitoring this for a long period of time and everybody has their thoughts on what's really going to happen 2, 3, 5 years from now to those retailers you mentioned. We do think there's opportunities to retrofit boxes if the box is in good condition, if the ceiling height is right, if the space lays out correctly. We've seen that Bed Bath & Beyond will take the entire box and put all 3 or 4 of their concepts into the box. We've also seen it work where you have a Burlington Coat come in and take an existing Sears box. Where I think it gets challenging is if the box hasn't been touched for 50 years. But if you take a few Kmarts, for example, there's really no way to retrofit that box. You've got to tear it down. You've got to start fresh, but that's not necessarily a bad thing because that allows you to really have a blank slate, an open palette to create a dynamic retailer lineup to help revitalize the shopping center.
David B. Henry: And Jeff, I'll comment on the first part. In general, if you look across our industry, Kimco and all of our peers, our occupancy is the highest in our bigger boxes. So when you get above 10,000 square feet, we're all 97%, 98% leased these days. So to the extent that one of these big guys comes more available like Kmart, I think it will be rapidly absorbed by the junior anchors that are expanding. TJX and Ross, together, are going to open 200 stores a year for the foreseeable future. So there's this enormous growth of some of the junior anchors and boxes that we do business with. The Bed Bath & Beyonds are at least 25, 30 stores a year. The Petco, the PetSmarts, the Hobby Lobbys, I mean, they're all growing like crazy and these boxes, as Conor described, in the right situations, can work well for these tenants.
Operator: The next question comes from Vincent Chao of Deutsche Bank.
Vincent Chao - Deutsche Bank AG, Research Division: I just want to go back to disposition commentary in terms of the pace of dispositions dictating some of the acquisitions beyond the $500 million. Just curious how demand trends are for dispositions of the type that you're trying to complete. Are you seeing a pickup in the interest? Or has some of the uncertainties that have kind of unfolded here over the fall here changed anybody's outlook or appetite?
Glenn G. Cohen: Vince, I think we feel good about being able to sell the assets that we're trying to market. We packaged up quite a few of them, and I think you'll start to see a lot more activity happening really in the second quarter on those. But I think the market's in good shape. The capital markets are in excellent shape. The CMBS market is in excellent shape. So there's clearly capital available and there is demand for the product type today because of its yield.
Conor C. Flynn: Right. So instead, the sun, moon and stars are all lined up in terms of the market right now for that type of products. So where we can expedite it, where we can do a larger package of assets, that's what we're looking at and trying to make sure we execute.
David B. Henry: And then cap rates are drifting down even for the B properties these days.
Vincent Chao - Deutsche Bank AG, Research Division: Okay. And at this point, do you think there's a portfolio sale premium? Or do you think it's still better off selling single assets?
Glenn G. Cohen: You will find out.
David B. Henry: We have a large portfolio in the market now, and we are accepting bids on both the portfolio as a whole and the individual assets. So that'll be a good test to it. We'll see.
Operator: The next question comes from Jim Sullivan of Cowen.
James W. Sullivan - Cowen and Company, LLC, Research Division: A question really for Conor on the impact of -- excuse me, the increasing occupancy rates. In prior periods where your occupancy rates have reached these kind of levels, you've typically been able to maintain double-digit leasing spreads on a several quarter basis. And how close are we to getting to that point, number one. And number two, regarding the LTAs, in the prepared comments you noted the increase in the LTAs last year. Is that a trend, do you think, we're going to see for awhile here or not?
Conor C. Flynn: I think you're going to start to see LTAs become a factor as landlords can get more aggressive in trying to recapture some of these boxes. There's such a lack of new supply that, I think, we can be more proactive on that and really see how we can harvest the portfolio and see if we can create more opportunity that way. On your question on redevelopment...
James W. Sullivan - Cowen and Company, LLC, Research Division: Yes.
Conor C. Flynn: Yes, the spreads on the re-leasing, I think, you're right on. We've got probably about another, I would say, 96.5%, I think, is our target to hit in terms of occupancy. So we do believe we can raise the occupancy a little bit more. But you're starting to going to see it come from re-leasing spreads. You're going to see it come from small shop occupancy gains. And you'll see the anchor box re-leasing spreads to be strong as well because these boxes that are coming due without any options, there's bidding wars out there now, which wasn't the case a few years ago. So it's an exciting spot to be in.
David B. Henry: And rents are jumping not by 2%, 3%, they're jumping by $1, $2, $3. So that's what gives us some comfort. And rents still aren't back to prerecession levels, so we still have a ways to go.
Operator: The next question comes from Steve Sakwa of ISI Group.
Steve Sakwa - ISI Group Inc., Research Division: On Page 7 of the Supplemental, you guys disclosed kind of the lease occupancy and the economic occupancy. It's about 240 basis points today. I'm curious sort of what's that spread been historically? How tight can it get? And kind of over what period of time should that incremental NOI that, I guess, is ineffectively signed and in place but not yet income producing, how long does it take to kind of show up in the income statement?
Glenn G. Cohen: Yes, I mean, historically, it's been somewhere between 150 and 175 basis points and it takes 6 months or so. We signed a lot of leases at the end of the year and those leases, the rentals start flowing when you deliver the space to the tenants, which is anywhere from -- it can be 3 to 6 months. But on general, I would say around 6 months we'll start seeing it flow.
Conor C. Flynn: That's right. And we had a huge leasing volume this past quarter. So as Glenn mentioned, you'll start to see that flow 60 to 90 days past.
Steve Sakwa - ISI Group Inc., Research Division: And is there anything different about the environment today that would allow that 150 to 175 gap to narrow?
Glenn G. Cohen: We have a very large portfolio. We're signing roughly 2 million square feet of space every quarter. So it really is dependent on the deal volume that you have. But again, if you look historically, that's where it's been. I don't see it really changing a whole lot.
Conor C. Flynn: Really, what we're focused on is trying to expedite the rent commencement date and to try and shorten that deal curve as much as possible. But it does take time to get the tenants in, to get them built and open and operating. So as much as we can, we're going to try and shorten that, but it still takes time.
Operator: The next question comes from Cedrik Lachance of Green Street Advisors.
Cedrik Lachance - Green Street Advisors, Inc., Research Division: Milton, you were talking a little bit about the results so far of the SVU transaction. Other than the share price performance, can you talk to us a little bit about whether or not you were able to accomplish some of the goals on the real estate front? And whether as you go into year 2, 3 and the future of that investment, whether you're going to be able to recapture some real estate at what could be an advantageous price?
Milton Cooper: That is the fourth objective and we have had several transactions where we were able to acquire real estate from the vending partners in each case. We had outside appraisals, some of it was fair. But it really has worked for us and I think that those companies are relatively real estate-rich. So bottom line is that our objective is to not only make money on the investment, but to obtain real estate other than bidding for it in the marketplace. And that's we have done and will continue to do, Cedrik.
Cedrik Lachance - Green Street Advisors, Inc., Research Division: Sorry, so how much have you been able to acquire so far in real estate from SVU?
Conor C. Flynn: We have about 3 properties we're under contract to acquire in adjacent shopping centers that we own from them and we're looking at some other deals. There are also properties where there are tenants looking to restructure some leases and things like that, that could benefit the long-term value of the property. So the company right now, Cedrik, is focused 150% on improving the business. And they want to work with us, but we don't want to distract them from their main goal of that. But I think at stabilized, we'll be able to work with them, but we don't want them to lose sight of their main goal, which is to create the value in the operating business. So the early stage is hard to get a lot in control.
Operator: The next question comes from Rich Moore of RBC Capital Markets.
Richard C. Moore - RBC Capital Markets, LLC, Research Division: I guess there's always got to be something and lately I've been hearing more talk that the bank branches at shopping centers are all going to disappear. And I know Bank of America, I think, is #46 on your tenant list, so not a big deal. But I'm curious what you're hearing about bank branches? What you think about that situation? And who might be likely replacements?
Conor C. Flynn: Yes, bank branches have been on a target list for awhile of understanding that they are going more to the ATM and less tellers. A lot of the banks have been putting private wealth management into the bank branches to try and create more value, but they are still reducing the amount of branches across the country. Now those pieces of real estate are typically the best located in the shopping centers. So they command the highest rents and are usually great real estate to recapture because of today's environment with all the restaurants that are very aggressive to wanting to be upfront. Those spaces are typically pads that can be repositioned very easily with significant value creation involved. So it is something we've been watching. I think that trend will continue as technology becomes. More and more people are banking online and are really using technology to go less and less to a bank branch.
Richard C. Moore - RBC Capital Markets, LLC, Research Division: Okay. And just real quick, Conor, is that right that the only real exposure you guys have is Bank of America at 0.4% of rents?
Conor C. Flynn: That would be the largest in terms of the bank branches that we have, but we do have a number of banks across the portfolio. So that's the largest single exposure.
David B. Henry: And there still are banks that are expanding their branch networks. So it's not they're all going down. TD, as an example, has been very aggressive at taking branches from other banks that are downsizing.
Conor C. Flynn: And credit unions, too. Credit unions have seen a big...
Operator: The next question comes from Haendel St. Juste of Morgan Stanley.
Haendel Emmanuel St. Juste - Morgan Stanley, Research Division: So I'm looking at Page 30 here of the Supplemental, see that new leases in Canada were down 8.2% and also down 16% in Latin America. We know you're continuing your exit from Latin America. But was wondering if you could provide some color, more color around demand for retail space in Canada and Latin America? And then in light of the positive commentary you made earlier in your remarks about Canada, when does that translate into positive leasing spread?
David B. Henry: In Canada, we were hit with a couple of things; one is the currency. Obviously, the Canadian dollar has weakened dramatically and if you took the currency impact out of it, we would have had positive same-site numbers in Canada. But in addition, as you know, Zellers closed its chain across Canada, selling most of the stores to Target, but not all. So we do have 2 empty Zellers stores that ended up in the numbers. One of those has been re-leased, so you'll see that turn around in the future. So even though this quarter's a little bit down from what we normally expect, Canada should continue to do very well. And you have to put it in the context that Canada just didn't have the decline that the U.S. had, so it's always been kind of a steady eddy for us. So it's not in a recovery phase, if you will. So we still feel very good about what's going to happen longer term in Canada in terms of same-site and rent growth. Like Puerto Rico, it's supply constrained in a sense that it's only got about 60% of the retail per capita that the U.S. has and there's enormous demand for space by retailers. And you see the evidence of that in development activity picking up mostly in urban locations in Canada. So I think this is a 1-quarter blip, primarily driven by the currency. In Latin America, we've been selling a lot of properties so the numbers are jumbled. Some of our best properties were in the early rounds of what we've sold. But on the ground, we're seeing pretty good tenant demand. Our job is to keep our operating partners focused on the leasing as we move towards closing these properties. As I mentioned, all but 5 are now spoken for. And so within the next 3 to 6 months, they should be closed and gone. So it's a little bit of wind-down activity, which should -- it's not representative of the actual demand for space in Mexico. You probably saw yesterday, they were upgraded to investment grade by Moody's, which, I think, gives you an indication of what's going on in the Mexican economy, which is strong. And both domestic and international retailers are expanding in Mexico. So I think the long term is positive for Mexico on the ground and retail space.
Haendel Emmanuel St. Juste - Morgan Stanley, Research Division: Appreciate that. And just to clarify on an earlier comment about your 2014 investment activity, should we assume the spreads -- similar spreads for this year as incurred last year at 80 bps more or less of dispositions versus acquisitions, is that a fair assumption?
Glenn G. Cohen: Yes, are you talking about in terms of the dilution?
Haendel Emmanuel St. Juste - Morgan Stanley, Research Division: Right.
Glenn G. Cohen: I mean, again, yes, it's probably around 100 basis points.
David B. Henry: Okay. I'd say it's a good solid. I mean, the better properties today are trading at that 6-ish and we're doing pretty good when we sell the stuff we're selling at 7 or maybe even a little higher. So the gross cap rate difference is at least 100 basis points.
Operator: The next question comes from Ki Bin Kim of SunTrust.
Ki Bin Kim - SunTrust Robinson Humphrey, Inc., Research Division: Just going back to your earlier comments about e-commerce, it seems like the e-commerce industry itself has slowly changed in the past 5 years. And I guess, first, it really targeted the power center type of tenants, commodity-like items and now they've gone towards more malls. So my question is if you look at your power center portfolio, what percent of the tenant mix would you categorize as very Internet-resistant? And could you comment on the difference in performance between power centers and strip centers in your portfolio today?
David B. Henry: Well, let me take a stab at the e-commerce question. Just about all retailers are affected to some degree by e-commerce and they range from very limited impact like barbershops and grocery stores and things like that all the way up to the electronics and booksellers that have been victims of the e-commerce trend. And a lot of our retailers fall somewhat in the middle. What's encouraging to us is a couple of things, almost all of these better retailers have found ways to blend their own e-commerce online activities with their brick-and-mortar activities and they're getting very good at it. And in many cases, they're taking share away from the Internet-only sellers, if you will, because they can provide delivery services much more efficiently. They're closer to the customers. And in terms of what impact it has on our space, what we're seeing is the bigger retailers are converting portions of their stores to what they call fulfillment centers. So these stores are not only showroom and sales space, but they're also delivery centers. Macy's, I believe, has announced that they've already converted 500 of their department stores, a substantial amount of the space in those 500 stores, to fulfillment centers. So as they take online orders, they take it directly out of the stores. And most of these brick-and-mortar retailers love it when goods are returned because they sell $1.30 to $1.40 for every $1 that's returned to the stores. Sometimes they get a new customer that sees new merchandise and so forth. So that they're finding very effective ways to blend those operations together. Gap is another great example of working well and I think more than 30% of their sales are now online and they've managed to bring their brands all together with online. So right now, it hasn't slowed -- none of this e-commerce activity has slowed down the demand for space. It has shrunk their prototypes. So for instance, Old Navy, I know that it used to have 25,000 square feet. Now, it's more like 17,000 as their newer prototype. But it hasn't slowed down their demand in terms of looking at that space. So we see the TJXs of the world, the Rosses, as I mentioned, the Petco and so forth growing like crazy even as they expand their own online activities. And the saving grace for us as landlords is there's just no new building out there. So instead of building 2,000 shopping centers a year in the U.S., it's down to less than 100 and retail per capita is going down instead of up. So all of that makes it an effective counterweight to e-commerce. Nobody is going to disagree that e-commerce is taking a bigger and bigger share. But the limited new construction, the GDP positive and the limited new supply has more than offset it. And that proof is in the pudding. All of our occupancies are up, our rents are up and so forth. So we're still on a good trend.
Ki Bin Kim - SunTrust Robinson Humphrey, Inc., Research Division: Any difference between performance and power centers or the strips?
David B. Henry: Oh, I'm sorry. Well, again, we -- there's issues that we look at in both. I think the neighborhood centers, which are generally what you would call strips, are generally grocery anchored and they're focused right on the neighborhood and they deliver, as Milton pointed out, essential goods and services. So your dry cleaner, your grocery store, your drugstore, your commercial bank is all there. They're probably a little less vulnerable than power centers that have a Barnes & Nobles, that have a Best Buy and so forth. So I wouldn't disagree with the general theory that perhaps the power centers are a little more vulnerable. But the power centers also have these boxes and chains that are growing like crazy. So the demand for space is still strong even in the power centers.
Conor C. Flynn: I would just add that it's becoming a very blurred line between the power centers and the neighborhood centers and the community centers because, today, there are more grocery retailers entering power centers that had never entered them before. So it's becoming more of, rather than a destination-oriented type shopping center, it's really becoming more of a daily shop and so that's spilling over. The sales volumes would increase across the power center. But as Dave mentioned right now, the power center has been doing quite well because there's such a lack of that big-box opportunity that there's bidding war for those types of opportunities when they come available. Where the grocery-anchored center has done well and the grocery stores continue to show that they're Internet-resistant, but they're mostly using their small shops for their growth. So there's opportunity there as well as the small shops have recovered an increased growth through small shop retail.
David B. Henry: One of the most encouraging signs that we have is the number of retailers that ask us about our watch list. So they're trying to get a proactive jump start on retailers that might give back space and they're starting to get worried themselves about the store counts that they have to achieve over the next couple of years.
Operator: The next question comes from Michael Muller of JP Morgan.
Michael W. Mueller - JP Morgan Chase & Co, Research Division: Just a question on disposition guidance for 2014. The $700 million to $900 million, is that just U.S. volume? Or does that include Latin America as well?
Glenn G. Cohen: That includes Latin America. Latin America will be $500 million of it.
Operator: The next question comes from Nathan Isbee of Stifel.
Nathan Isbee - Stifel, Nicolaus & Co., Inc., Research Division: Can you break out the same-store revenue versus the same-store expenses expectations that's baked into your guidance for next year? And where do you think there's room to drive operating efficiencies you referenced earlier?
Conor C. Flynn: I'll take the operating efficiency question. I think that when you have a very geographic-centric portfolio, you have more time spent at the property than you would if you were geographically diverse or in your secondary and tertiary markets and don't have an office located right at the shopping center. So we're looking to see as we move towards our goal of a Tier 1 portfolio in our key markets, we think we can have more boots on the ground, more touching and feeling and kicking the tires of these assets to see what we can do to generate growth. Can we come up with more redevelopment opportunities? And I think the more time you spend on each individual asset, the more efficiency you have in terms of you're managing your portfolio by having to travel less, keep your expenses low and potentially have a core group managing a shop -- a portfolio of shopping centers in a very strategic area.
Nathan Isbee - Stifel, Nicolaus & Co., Inc., Research Division: So where do you think your margins can go in that?
Conor C. Flynn: I think we can probably look at -- if we look at where the portfolio will be in 3 to 5 years from now, I think our goal is to actively reduce overhead where we see fit. It's a managing a much smaller number of properties, but the NOI is still going to continue to grow. So we think that we can become more efficient. We don't have a target number yet, but we do believe that there's efficiencies in that.
Nathan Isbee - Stifel, Nicolaus & Co., Inc., Research Division: All right. And the guidance?
Glenn G. Cohen: Nate, can you clarify your first part of your question?
Nathan Isbee - Stifel, Nicolaus & Co., Inc., Research Division: Yes, I mean, you came out with a 2.75% to 3.25% on the same-store NOI. I'm just curious how that breaks out between revenue and expenses.
Glenn G. Cohen: Well, you'll have somewhere in the 2% range would be coming from the revenue line so the expense side -- again, the expense recovery and piece of it is probably another 50 basis points of it and then you add the other components, which are the other rental revenue and the percentage rent piece, which is -- it's a little subject to change. But the minimum rent is the key driver of the same-site NOI growth in that 2.5% to 3.5% target range.
Nathan Isbee - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then non the expense side, are you baking anything in terms of reduction for '14?
Glenn G. Cohen: Well, again, if you look at our margins, they've run overall somewhere in the low-70s and their budgets as we roll them up property-by-property bring us to the same level. So when you talk about expenses, you have certain variable costs, things like snow, landscaping and things like that. It depends on how that all comes together. But our recovery side will improve and that's why there's a piece of that, that is in the same-site NOI growth.
David B. Henry: Right. As the occupancy goes up, we recover more of our expenses.
Operator: The next question comes from Christy McElroy of Citi.
Michael Bilerman - Citigroup Inc, Research Division: Actually, Michael Bilerman. Just a question, I don't know who wants to take it. But Milton, you talked a little bit about sort for the plus strategy and low overhead with you and Ray. I'm just curious how active the plus business is internally in terms of other resources that may be at play, about whether there could be more transaction activity? And as you think about the different areas that the plus business has taken over the years, whether it just be sale-leasebacks or bankruptcies or repositioning some underperforming retail locations or financing, how should we think about potential transaction activity in the plus area?
Milton Cooper: I would think that you'll see substantial activity in 2014 and 2015. I think it'll be dramatically increased in there.
Michael Bilerman - Citigroup Inc, Research Division: And what does that comprise? What sort of -- where is that emanating from in terms of the types of transactions that Kimco would be involved with?
Raymond Edwards: I mean, historically, we've done deals with financing with retailers that we've kind of put on the back burn for the last couple of years that have been very profitable. So that's an area we can look to grow the business again on that. And again, we're still -- we have very strong relationships with the private equity world and the other people in the turnaround world to get the -- it's really at this point for Milton and I to kind of -- which we have been doing the last 6 months or so, reach out to people and let them know we're kind of interested in doing this business again where we're basically on the sidelines the last few years. But we have very strong relationships and I think people want to work with us and they're happy to hear that we're kind of back in business with them.
David B. Henry: It's a compliment to both Milton and Ray that we are probably one of the first calls by a lot of the private equity companies and other major investors and retailers that are under any kind of distress as they try to unlock real estate value. And to your question on are there resources, we do use our regional field network to help us underwrite these opportunities and that's one of the strengths we bring to our partners. We have the ability to tell them what the replacement rents will be. We have an ability to quickly swarm over a lot of properties and help private equity and others underwrite these things. So it's a good marriage, especially when the opportunity itself is a good one like Albertsons and SUPERVALU.
Michael Bilerman - Citigroup Inc, Research Division: So it sounds like more of those types of transactions where you'll be partnering and taking a smaller piece but be the real estate expertise.
David B. Henry: Be the real estate partner. That's the key, yes.
Milton Cooper: Exactly right.
Operator: And the last question will come from Ross Nussbaum of UBS.
Ross T. Nussbaum - UBS Investment Bank, Research Division: If I take a couple of the comments that were made on the call, including what was just said regarding the dramatic increase potentially in the plus business and then I think about what is the lower GLA per capita, which is a function of higher population, as well as the increasing demise of whether it's B malls or tertiary real estate, it kind of seems to me that we're entering a new phase for retail real estate in America where we're seeing a huge segregation in the quality and the growth prospects of retail. And I'm just sort of curious if you generally agree with that statement that the next 5 to 10 years are going to be dramatically different than the last, call it, 10 or 20 in terms of how investment returns are achieved in retail real estate.
David B. Henry: Well, I'll take one stab at that. We are seeing an increasing urbanization. The retailers want to follow the population growth and the job growth and we are seeing a desire and the value of properties that are located in some of our key markets, which are higher-density, higher-income areas. And retailers is definitely following those trends and cap rates and values are definitely following those trends, which is why some of these tertiary areas, and as you referenced, the B malls, the second-class properties are probably going down faster than other things. By the same token, the higher quality is holding up quite well. The rents are up. There's a declining supply of it. The retailers are trying to quickly rent space in these areas. So I would agree with you that there's a dividing going on here and we intend to be part of it, which is why we think it's a great time to sell some of our more tertiary assets and buy some of the things that we think are going to hold up well over the next 5 years.
Operator: And at this time, I would like to turn the conference back over to David Bujnicki for any closing remarks.
David F. Bujnicki: Thanks, Andrew, and to everyone that participated on our call today. As a reminder, additional information for the company can be found in our Supplemental, which is posted to our website. Have a good day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.